Unidentified Company Representative: This presentation and comments made in the associated conference call today may include forward-looking statements. Forward-looking statements include information concerning future results of operations, our ability to maintain or improve book value, the stability of earnings and dividends, our views on the economy, the positioning of our portfolio to meet current or future economic conditions, our ability to continue performance trends, our ability to select assets with slower prepayment speeds, the credit quality of our assets and deployment of capital from the stock offering.In addition, words such as believes, expects, anticipates, intends, plans, estimates, projects, forecasts, and future or conditional words such as will, may, could, should, and would, as well as any other statement that necessarily depends on future events, are intended to identify forward-looking statements.Forward-looking statements are not guarantees and they involve risks, uncertainties and assumptions. There can be no assurance that actual results will not differ materially from our expectations. We caution investors not to rely unduly on any forward-looking statements, and urge you to carefully consider the risks identified under the captions Risk Factors, Forward-Looking Statements and Management’s Discussion and Analysis of Financial Condition and Results of Operations in our annual report on Form 10-K and quarterly reports on Form 10-Q, which are available on the Securities and Exchange Commission’s website at www.sec.gov.All written or oral forward-looking statements that we make, or that are attributable to us, are expressly qualified by this cautionary notice. We expressly disclaim any obligation to update the information in any public disclosure if any forward-looking statement later turns to be inaccurate.
Operator: 
Richard King:
John Anzalone: Thank you, Rich. On slide six I will start with the portfolio update. As Rich mentioned our focus during the fourth quarter was to reposition the portfolio to take further advantage of the improving housing market. To that effect, our agency book decreased by just over $600 million, while our non-agency RMBS book was up by $453 million and our CMBS book was up almost $300 million. I will elaborate on those moves over the next few slides as I go through the sectors individually. Additionally, we carried more cash into year end. $286 million versus $190 million last quarter, as we were positioning defensively heading into the fiscal cliff discussions. That cash has since been deployed which will further increase earnings assets. Total leverage on the portfolio increased from 5.8 times to 6.1 times. As you know we raised $359 million of capital a couple of weeks ago to take advantage of opportunities we are seeing in the market. As it stands now, we have approximately 85% of that capital deployed. The raise is particularly well timed as we are able to quickly put the money to work on the agency side, just as valuations were cheapening. We are very pleased with the specified pools that we were able to pick up, as pay-ups on prepaid protected collateral were also softer. On the agency side, the raise is fully invested. On the credit side we are also making very good progress with over one-third of our credit allocation complete. In non-agencies where we have made the most progress, we have been focusing on increasing our allocation to legacy positions which will stand to benefit the most from the uptick in housing. On the CMBS side we are anticipating that the new issue pipeline will increase providing most of the opportunities to take advantage of improving CRE fundamentals. Let’s turn slide seven in the agency sector. We made quite a few moves within the agency sector during the month as we saw some shift in prepayment behavior. The largest shift involved moving away from higher coupon investor pools, mostly in 4s and 4.5s, and moving into lower coupon loan balance in geo-paper in 3s and 3.5s. We noticed that the rates being offered to investors were moving closer to where regular borrowers could obtain loans and speeds on that paper was beginning to tick up. As I mentioned earlier, we have seen some softening in pay-ups, particularly on lower coupon specifieds. So we moved into those stories. These moves generated about $20 million in gains while strengthening the prepayment protection of the portfolio. On the funding side, we have seen repo rates fall since the end of the quarter with 30-day repo rates now in the high-30s, down from the high-40s at year-end. Leverage increased slightly to 9.3 times. We had another strong quarter on the prepayment front as the CPR on a 30-year collateral declined from 13.1 to 11.6 CPR. While we saw an increase in speeds for 15-year collateral and hybrids ARMs, those sectors only make up about a quarter of our agency book. Overall, approximately 90% of our agency collateral has some form of prepaid protection. Now let’s turn to slide eight in non-agency. We made good progress in adding to our non-agency book during the fourth quarter with the book increasing by $453 million. These are primarily legacy bonds and in fact our allocations of legacy paper increased from 31% of our non-agencies to over 40% during the quarter. And that will continue to increase as we are also directing new capital towards legacy paper. As Rich went over, we are more positive on housing and are looking to position that portfolio to benefit from this fundamental improvement. Further technical factors are still overwhelmingly positive. As net supply remains negative, we expect over $100 billion in negative net supply in 2013. And demand remains robust as investors search for yield. We continue to see yields decline as our hybrid ARM collateral resets lower and new purchases are put on a slightly lower yield. Funding costs have improved helping offset the decline in yields and leaving our net yield only slightly lower. Leverage on our non-agency books stood at 3.3 times at year-end. Finally, I will discuss CMBS on slide nine. Just as we are seeing improving fundamentals on the residential side, we are also seeing CRE fundamentals continue to improve. We added almost $300 million to our CMBS book during the fourth quarter with new investments concentrated primarily in single A rated new issue bonds. CMBS rallied strongly during the fourth quarter with prices on our book up about two dollars on average. That strong performance has continued since year-end with our CMBS prices up between $0.50 and $1 on average as investor demand is fueled by the need for yield. We saw our average yield fall to 4.82%, reflecting the increased credit quality of our book as well as tighter spreads on new purchases. Funding costs fell slightly to 1.50% leaving our net yield of 3.32%. Leverage on our CMBS book stood at 2.9 times at year-end. So that concludes our prepared remarks. So, operator, can we open it up for questions?
Operator: (Operator Instructions) Our first question does come from Doug Harter of Credit Suisse. Your line is open.
Douglas Harter- Credit Suisse: Could you talk a little bit about how book value has fared in the first quarter given some of the weakness pay-ups that you referenced?
John Anzalone: Sure. As of yesterday, book value was approximately unchanged over the quarter. And really it was the same dynamic that was going on in the fourth quarter in that agencies slightly underperformed and credit gains offset that. A little bit of a different flavor to it this quarter as non-agency prices improved a little bit more than CMBS prices so far in 2013, whereas in the fourth quarter CMBS kind of led the way. But we are seeing very stable book value. 
Douglas Harter- Credit Suisse: Great. And with rates backing up, I guess you kind of answered this but I guess going to a little more detail as to why you still find the stories as attractive?
John Anzalone: I think we do like -- we continue to like higher coupon mortgages and given the premium on those, it’s really important to have prepaid protection given -- we probably are biased towards rates going on higher but certainly some (inaudible) rates are going to lower. So I think those pools just have a better convexity profile. So we are always going to pay up for higher or better convexity in the agency book. But we are still very much skewed towards how a coupon mortgage which we think that embedded IO and that is going to be decent protection against rising rates also.
Operator: Our next question does come from Kenneth Bruce Bank of America Merrill Lynch. Your line is open.
Kenneth Bruce - Bank of America Merrill Lynch: I guess, I was hoping you might be elaborate on the risk sharing bonds that you anticipate coming out later this year. Is there any thoughts around what those investments would be proxy to? How are you thinking about what the return profile would look like? If you could give us some color on that, that would be helpful.
John Anzalone: Sure. I think what's likely to happen this year is we will have a number of pilot transactions that pick various forms, senior subordinated, structure, maybe in embedded note, and maybe a pure derivative form. And from what we have seen recently in the private label market, you have seen some improvement in kind of execution and certainly ROE on buying loans and securitizing has tightened and the agency transaction is similar to that, so there is likely to be some competition for it. But the amount of volume that needs to get done in the agency market obviously is quite large overtime. And in addition to that, as the housing market picked up there will be a lot more of loan production and you should see improvement in the ROE on securitization as well. So we are positioned for both of those things. And we think that they will have to be priced attractively. I can't really tell you exactly what the ROE’s are going to be except that there is a huge need for capital in that space and that for the government to get out of the way, it’s going to have to be attractive.
Kenneth Bruce - Bank of America Merrill Lynch: Right. I guess is there anything that you would point to as maybe being an appropriate reference rate not knowing how the market is going to evolve. I guess I am maybe hoping you could provide just some context as to what you would look at for a proxy for that part of the market?
Richard King: I mean we are going to look to try to generate the types of ROEs like in the low double-digit, I would say, and maybe slightly higher. A lot of the ROE on any one transaction is going to depend on how thick the tranche is. Obviously, the thinner the higher the ROE will have to be.
Kenneth Bruce - Bank of America Merrill Lynch: Okay. And as you are looking at the private label market, could you elaborate just as to your strategy in that part of the market. Is that something you envision? Accumulating loans and then securitizing or just participating in other securitizations.
Richard King: Yeah, I think, first up I would say we have been very patient on this score because we have just seen better value for our shareholders and holding securitized assets and financing them. And that’s still the case today. But what we are doing is we are setting up, we are going through the steps we need to take to be able to buy loans and securitize them because we think it’s time to get set up. I think earlier we just thought, this is way too early. So essentially we are not looking to originate, we are not looking to service, but we are looking to position ourselves to buy loans from originators and securitize those loans.
Kenneth Bruce - Bank of America Merrill Lynch: Okay. And maybe lastly, is there a minimum allocation of agency MBS that you think is appropriate for the portfolio? Or how should we look at that going forward?
Don Ramon: Well, I think that -- I guess that kind of depends on the environment. And I think right now we are favoring credit because we see, like (inaudible) Rich went over, so many positive signs in the housing market. But clearly there is going to be a minimum amount we need just to meet our whole pool test. So I mean that would be the kind of the minimum level there. But as long as we see ROEs that are decent and we feel like we can find pretty good prepayment protection stories and hedge effectively, I mean you will still see us active in that space. But I think in terms of our allocation to credit, really what depends on mostly is just finding enough credit that we are comfortable holding. I mean that really is the limiting factor in terms of, there is positive signs and we are seeing pretty decent flows on the non-agency side. And the CMBS market is obviously, the pipeline is improving there, so as those come on it’s more a evolution than we don’t just dump all our agencies and pile on to credit. We definitely take our time and find bonds we like.
Operator: Our next question does come from Bose George of KBW. Your line is open.
Bose George - KBW: Just curious, the decline that we saw in your, in the prepayment speeds on the 30-year fixed, was that partly because you sold higher prepaying assets earlier in the quarter? Just curious about that.
John Anzalone: Yeah. I think that was most of it. I mean what we have found, I mean we go through this process pretty much constantly. But as we go through the portfolio, we try to figure out which stories are working better than others and the one really stuck out -- there were actually two that stuck out. One that stuck out was the investor property pools. In that we are seeing the rates that were coming to -- were available for investors. We are kind of converging on what the regular type borrower, and those guys tend to be in a better position to refinance. So we moved out of those. And also there is a real diversion in terms of just pools originating before and after unit 2009. I mean pretty much even the story that the paper that does have prepayment protection that was HARP eligible, we are starting to see that paper pickup in speed. So we didn’t move out of some of those. And so that -- it’s a bit encouraging in that we are seeing -- it is kind of counterintuitive but when we see low balance pools that are HARP eligible, start to increase in speed. I mean to me that tells me that short of a low hanging fruit has been picked in terms of HARP and they are going after loans that are probably less profitable to refinance. So we are starting to maybe get comfortable with the fact that HARP might be starting to burn out.
Bose George - KBW: Great. And this is actually a follow-up just on HARP. Do you see any political changes that could sort of give HARP a further boost this year?
Richard King: We don’t anticipate any major changes. I think if there is changes they might be, we consider more around the edges. And I think that recess appointment being made unconstitutional makes it a lot less likely that the (inaudible) gets replaced in the near term. So major changes to HARP are probably not in the cards anytime soon.
Bose George - KBW: Okay. Great. And then just one follow up on that at the first loss credit risk. Is there any feel for the timing of that? Could that be a first half of this year thing?
Richard King: It could be. That’s hard to predict. I would guess, it’s more of second half.
Operator: Our next question does come from Trevor Cranston of JMP Securities. Your line is open.
Trevor Cranston - JMP Securities: It looks like the overall leverage went up a little bit this quarter even though the allocation of the portfolio shifted more towards the non-agency bucket. Can you guys just talk a little bit about how you are thinking about leverage today and what you view as the target for the portfolio once the capital from the raise is deployed.
Richard King: Sure. I would say just on the -- what we were looking in the second half of last year was kind of gaining confidence in the housing recovery and interest, and allocating or buying more assets that benefit from the housing recovery. So we did increase leverage on the non-agency book and in terms of -- and in CMBS as well. And we are comfortable with the levels we are there. On the agency side it’s been relatively constant. And I would say on the new capital we are looking at same type leverage numbers that we have on the existing capital.
Trevor Cranston - JMP Securities: And then just a kind of follow-up on the idea of the questions about HARP. We have seen some headlines recently about some possible programs coming through, about refing underwater borrowers who are in non-agency securities. Can you guys maybe share your thoughts on the likelihood of that type of thing coming through and how it might impact your portfolio?
Richard King: I mean it would be a positive. At this point I haven’t seen anything that indicates a likely path. I know there is a desire on the part of the administration to accomplish that. It’s kind of tough to see how that gets done unless the government is willing to essentially do something like TARP and put their own money towards it. So I would still say it’s not that likely but it would be beneficial in that, that would lower loss estimates on RMBS and improve ROEs.
Operator: Our next question does come from Mike Widner of Stifel Nicolaus. Your line is open.
Michael Widner - Stifel Nicolaus: So I got a couple of questions for you. And let me prefix by saying the book value appreciation I think is about 27% for the year. So very impressive there. You talked about going forward that your focus would be more on sort of maintaining as opposed to raising and you would like to raise. But let me just ask about that opportunity. I guess specifically you had a couple of strategies that played out well in 2012 and mostly it was the shift into credit and credit assets performed very well. And you also, I think, got into some of those investor pools and other things before those things fully rallied. But with a lot of those opportunities which are now being exploited. I mean how do you look at the book value opportunity in 2013 and specifically where do you see opportunities for assets that are not fully appreciated and not fully priced into the market yet.
Richard King: Right. So that’s the idea behind our shift into more legacy RMBS that is of lower dollar process versus the [remix]. It is meant to capture more book value appreciation. So on the agency side if you have a, let’s say it mildly rising interest rates. I mean our goal is to generate dividends and hedge interest rate risk. And you may get some book value improvement from agency mortgage spreads tightening. We think they are relatively attractive. Coming into 2012, prices were seriously undervalued so you got a lot of left last year. So you can't expect anything like that I think going forward. But we do think you could see continuing spread tightening in credit assets and some spread tightening in the agency market. So I think it’s reasonable to expect some book value appreciation.
Michael Widner - Stifel Nicolaus: So let me take the two sides sort of separately and just follow up. On the non-agency side first, you guys have stuck pretty close to the top of the credit stack overall and if I look at what you are holding right now, on the CMBS side your average carrying value I think is about 1.09 and 4. So they are up there pretty high. And so I guess one, my question, is there a top on that? I mean can we move a whole lot higher than 1.09 and change. And then on the RMBS side, you know, again, you guys have stuck pretty close to the top of the credit stack, it’s worked out very well for you. But your average carrying value right now is 92 and change. So do you see opportunity to kind of move deeper down into the credit stack where you can still get stuff at say $0.70 or it’s all no matter how far down you want to move. I mean do you see any opportunity kind of moving deeper into credit as opposed to just shifting the allocation towards credit. And if it’s just an allocation the issue, I guess the question is do you really see upwards potential for those prices from where they are.
Richard King: I mean the answer is, yes. We see upward potential in prices. We like prime and I will take collateral better than subprime. So dollar prices are more likely to be in the 80s than in the 70 range like you have mentioned.
John Anzalone: Yeah. And I would say at CMBS, I mean with high dollar prices, those are -- we think more about spread duration than actual duration in terms of how the prices are going to react. So we think that right now we are considering that single A is kind of the sweet spot for where we are comfortable taking risk and putting leverage on that. So I think that still we expect to see some spread tightening there. And CMBS is obviously, there is no convexity risk there, so dollar prices aren’t really constrained in the same way that they might be in agencies if you get too high a dollar price. And it’s easily hedgable.
Michael Widner - Stifel Nicolaus:
Richard King:
Michael Widner - Stifel Nicolaus:
Richard King:
Michael Widner - Stifel Nicolaus:
Richard King:
Michael Widner - Stifel Nicolaus:
Operator:
Daniel Furtado – Jefferies:
Richard King:
Daniel Furtado – Jefferies:
Donald Ramon:
Daniel Furtado – Jefferies:
Operator:
Gabe Poggi – FBR Capital Markets:
Donald Ramon:
Operator:
Scott Bommer – SAB Capital:
John Anzalone:
Scott Bommer – SAB Capital:
Richard King:
Operator:
Richard King: